Operator: Ladies and gentlemen, thank you for standing by and welcome to the Altice USA Q4 2020 Results Presentation. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator instructions] I would now like to hand the conference over to your speaker today, Nick Brown. Thank you. Please, go ahead, sir. 
Nick Brown: Hello, everyone, and thank you for joining. In a moment, I'll hand you over to Altice USA's CEO, Dexter Goei; and our CFO, Mike Grau, who will take you through the presentation. And then we'll move to Q&A. As today's presentation may contain forward-looking statements, please read the disclaimer on page two. Dexter, please go ahead.
Dexter Goei: Hello, everyone. Before we begin, I once again want to thank and take the opportunity to thank the Altice USA team. Extremely proud of its ongoing commitment displayed by our employees in navigating the pandemic, together delivering superb results for 2020, including very strong financials and record customer growth. Starting with slide three. We grew reported revenue 1.4% for the full year, or 2.6% adjusted for the impact of RSN and storm credits. In the fourth quarter, we grew reported revenue by 2.5% and 3.6% adjusted for RSN and storm credits. We grew adjusted EBITDA 3.5% on a reported basis for the full year, or 4.8% excluding mobile and storm costs. Q4 saw an acceleration in EBITDA growth to 6.1% year-over-year on a reported basis, or 6.6% ex mobile and storms. The pandemic highlighted the importance of connectivity for both homes and businesses and we set a record for both customer and broadband net additions. And we continue to see very strong demand for higher broadband speeds. We added 81,000 residential customers, more than 5 times the 15,000 customers we gained in 2019; and 142,000 broadband customers, about double that of 2019. We also delivered our highest-ever free cash flow of $1.9 billion for the full year. In 2020, we also took advantage of market volatility and demonstrated our commitment to delivering attractive shareholder returns, delivering a record $4.8 billion in share repurchases, including a $2.3 billion tender offer we completed in December. We successfully completed the sale of a minority stake in our Lightpath business to Morgan Stanley Infrastructure Partners in Q4 and acquired Service Electric of New Jersey earlier in the year. We also continued to proactively manage and strengthen our balance sheet, refinancing $4.4 billion in debt, achieving our lowest-ever average cost of debt at 4.7%. All of this positions us incredibly well for 2021. Mike will provide you more color on the outlook. I just want to say that, while we face the ongoing uncertainty around the resolution of the pandemic, we remain very confident in our ability to continue to deliver revenue and EBITDA growth, as we have done in 2020. We can expect CapEx in the $1.3 billion to $1.4 billion range, as we reaccelerate our fiber build and expect leverage to fall below 5.3% at CSC Holdings, even with a target of $1.5 billion in share repurchases for the year. Turning to slide four. We just want to take a moment to highlight some of the corporate commitments we've made as a company to support our customers, our employees and the broader community, as well as opportunities for us on a go-forward basis. We provided free student broadband to customers during the pandemic, participating in FCC Keep Americans Connected Pledge and provided many connectivity solutions for the broader community. We created a $10 million community relief program and have partnered with numerous philanthropic organizations like DonorsChoose and the Boys and Girls Clubs of America. We also implemented numerous measures to keep our employees and customers safe. In addition to the pandemic, 2020 was also a year of significant social unrest and environmental disruption. On both fronts, we are extremely committed to doing our part. We remain committed to diversity and inclusion, including our recent recognition with a perfect 100 score for the third year in a row on the Human Rights Campaign's Corporate Equality Index, where we were also named The Best Place to Work for on the LGBTQ Equality. Separately we continue to focus on environmental stewardship and have numerous renewable energy projects in our pipeline that will reduce emissions and will also drive down cost savings. Turning to slide five. You can see our underlying revenue growth remains strong in this environment, again, demonstrating the strength of our business. Total revenue grew 2.5% year-over-year in the fourth quarter and 1.4% in the full year. We booked $19 million in RSN revenue credits this quarter and $97 million in the full year due to fewer gains being delivered during the MLB shortened season. As a reminder, these RSN credits do not impact reported EBITDA or cash flow since they are pass-through. In addition to the RSN credits, we issued storm credits for affected customers totaling about $10 million this quarter and $27 million for the full year. Excluding both RSN and storm credits, total revenue growth would have been 3.6% this quarter and 2.6% for the full year, a very strong result given the pandemic. Residential revenue grew 2.2% in the quarter and 1.6% for the full year excluding both RSN and storm credits. Business services grew 0.6% in the quarter and 2.3% in the full year excluding RSN and storm credits. We're extremely pleased with the recovery in News and Advertising where revenue grew 29.7% year-over-year in the quarter and 9.1% for the full year. Even without political News and Advertising revenues only declined by about 3% in 2020 and grew 3.5% in Q4, a very strong result given the broader backdrop. Turning to slide 6. We want to highlight the record-breaking customer and broadband growth we had in 2020. The best way to describe our momentum is through a full year 2020 lens. On a reported basis, we gained 81,000 residential customers organically more than 5 times 2019 net additions or 115,000 including Service Electric compared to only 15,000 customer net additions in 2019. Remember in the fall, we were impacted by a combination of three hurricanes; Delta Laura and Isaias. We had about 11,000 disconnects from the storms and still have about 9,000 customers in our customer counts that we're hoping to retain. Those bills are currently past due 90 days. On an adjusted basis, excluding non-current customers affected by storms that we normally would have disconnected, we still gained 72,000 customers organically, 83,000 customers excluding the impact of storm-related disconnects or 117,000 inclusive of Service Electric. In residential broadband, we gained a record 142,000 organic net additions in 2020, close to double what we achieved in 2019. Adjusted to exclude the 9,000 non-current storm-affected customers, we still added a record 133,000 broadband customers organically or 144,000 excluding the impact of storm disconnects. Including Service Electric, we added a total of 172,000 residential broadband customers on a reported basis. Overall this extraordinary customer growth sets us up very well for 2021. Turning to slide 7. In the fourth quarter, we saw reported net customer loss of 15,000 residential customers, which includes customers associated with the FCC Pledge and New Jersey Executive Order. As you may recall, we ended Q3 with about 22,000 Pledge and New Jersey customers who were late underpayments by more than 90 days. All of those customers have been brought current in the fourth quarter through a combination of balance forgiveness, payment plans or cash payments. So far we are seeing positive trends -- payment trends in that cohort in early 2021. Recall that the Pledge -- the FCC Pledge ended in June. A significantly amended New Jersey order has been extended through March 2021, but we don't anticipate there to be any additional risk to our customer base from that extension. Adjusted for the retention of these subscribers as well as excluding non-current subscribers affected by the storms, Q4 residential customer losses were minus 2,000 on an adjusted basis. Further adjusted for storm-related disconnects in Q4, residential customers would have shown a net gain of 3,000 better than the minus 5,000 customer loss in Q4 2019. Residential broadband net additions were a positive 9,000 in Q4 2020, adjusted for the retention of past due subscribers formerly covered by the FCC Pledge and the New Jersey Executive Order. And excluding the non-current customers affected by the storms, broadband net additions would have been 14,000 further adjusted to exclude the 5,000 additional storm disconnects which would have been double the levels of Q4 2019 when we reported 7,000 broadband net additions. For 2021, we think the appropriate benchmark for broadband customer growth is 2019 and expect to be at least in line or better with this level as we continue to return to more normalized levels. Once we get past any residual noise from the storms and New Jersey order in the first half, we expect more of a tailwind to customer growth in the second half of the year, especially as we see more of a benefit from our accelerated pace of edge-out build-outs. Again, we remain very well positioned for 2021 with a much bigger base of customers than we had anticipated acquiring a year ago a rapidly expanding and upgraded network and with broadband penetration at only 48%. Turning to slide eight, we continue to see our network performing very well even with heavier usage during the pandemic. Our broadband speed upgrades remain elevated up 70% year-over-year. These higher upgrade volumes continue to reflect enhanced connectivity needs from the switch to work-from-home and remote learning. Average monthly data usage per customer was up 40% year-over-year, averaging approximately 468 gigabits per customer per month in Q4. And our broadband-only customers use nearly 600 gigabits of data per month. 41% of our gross additions took one-gig broadband speeds in areas where it was available up from 29% in the third quarter and we remain very optimistic about the one-gig opportunity. Following the commercial launch of our fiber, double and triple play offerings in the third quarter, I'm very pleased to say our fiber selling rates are already at 58%, up from 44% in the third quarter ending the year with just under 26,000 customers and representing an enormous growth and cost-saving opportunity. Additionally, two-thirds of our fiber gross adds are taking the one-gig product which is higher than the proportion of customers taking one-gig on our HFC plant representing a great opportunity to differentiate our fiber offering and increase our revenue. To summarize, we are very pleased with our network performance and remain focused on continuously monitoring and upgrading our network to support demand. Turning to slide nine, the completion of one-gig availability across 100% of the Optimum footprint earlier in 2020 increased our opportunity to continue to upsell customers to higher broadband speed tiers. Our one-gig customer penetration increased to 7.8% in Q4, up from 5.7% in Q3. Our average download speeds have more than doubled in the past three years to 283 megabits. We ended the year with over 55% of our base still only taking broadband speeds of 200 megabits or less, which represents a meaningful opportunity for us to continue to deliver faster speeds to our customers. Turning to slide 10, we wanted to remind you once more of our long-term network strategy. In 2020, we were able to meaningfully accelerate our organic homes' past growth to the highest-ever level and bolted-on additional homes with the acquisition of Service Electric. We are extremely committed to expanding our footprint organically and/or inorganically on a go-forward basis as a key growth driver. Our build plans include a combination of accelerating our newbuild deployment, particularly around the edges of the Suddenlink footprint and fill-ins in the Optimum footprint with the goal being over 150,000 new homes constructed in 2021 and with further acceleration from there. Remember we hit approximately 40% penetration within 12 months of arriving in new markets, a very positive result. We are also continuing to upgrade about 400,000 homes in the Suddenlink footprint through full upgrades of RF equipment including new amplifiers and additional node splits to be up to one-gig-capable. Finally, we continue to advance our fiber-to-the-home plan ending 2020 with about one million homes passed ready for service. Compared to our average one-gig sell-in of 41%, two-thirds of our fiber customers are taking one-gig. We are confident that accelerating fiber deployment gives us many opportunities to deliver not only CapEx and OpEx efficiencies, but drive long-term topline growth as well. On slide 11, turning to business services, we saw resilience in both our SMB and Lightpath businesses during this time and still achieved full year and fourth quarter adjusted revenue growth. Business services revenue grew 2.3% year-over-year in 2020 excluding RSN installed credits or up plus 1.8% on a reported basis. In the fourth quarter, reported business services revenue was flat or up 0.6% adjusted for RSN and storm credits. As we previously flagged, the lower customer growth in the earlier part of 2020 following the lockdowns did lead to a slowdown in revenue growth from our usual 4% to 5% range and is likely to remain at this lower level for 2021, as sales and install activity remain relatively subdued before reaccelerating into 2022. However, we are seeing some unique growth opportunities during this time from corporations rethinking their real estate needs and upgrading connectivity at their corporate headquarters to increase demand for remote learning. In Q4, we also completed the sale of a minority stake in our Lightpath fiber enterprise business to Morgan Stanley Infrastructure Partners and are excited to have appointed a new dedicated management team to accelerate Lightpath's growth. In the SMB space, although we are seeing vacancies and some ongoing uncertainty regarding the pandemic, we are seeing strong activity through our call center and e-commerce channels as well as ongoing demand for higher speed tiers. Turning to our News and Advertising business on slide 12. We're extremely pleased to report full year revenue growth up 9.1% year-over-year and down only 3.3% excluding political. In Q4, we posted revenue growth of up 29.7% year-over-year in Q4 or up 3.5% excluding political compared to a decline of 6.6% in Q3 a clear improvement sequentially. In addition to the boost from political which was peaked in October we saw continued recovery in local advertising from the pandemic related through -- for the pandemic-related trough in Q2 including after the November elections when linear spot inventory became more readily available. We continue to benefit from positive viewership trends with a 90% increase in Cheddar website traffic year-over-year and 112% increase in users year-over-year. News 12 TV viewership is up 6% on a year-over-year basis. While there was some negative impact from shifting collegiate sports schedules sports and ancillary sectors recovered in the fourth quarter as did autos and programmer tune-in spend with new season launches. We anticipate this recovery to continue into 2021 and remain cautiously optimistic about our News and Advertising business. Turning to our Mobile business on slide 13. We remain pleased with our performance after our full year of service. We see ongoing momentum with our new tiered data plans with two-thirds of our gross adds now taking 1-gig and 3-gig plans at the end of 2020. The top priority for our Mobile business is an ongoing focus on profitability and we continue to refine our plans based on our target and broader market environment. We are also pleased to announce that as of the end of January approximately 90% of our devices have been migrated to the new T-Mobile network delivering a premium network experience. We have already seen a reduction in dropped calls of about 15% since prior to the migration an encouraging trend. This is another step towards our greater goal of continuing to improve customer service and broadening our product offerings including the expansion of our handset lineup and launching our 5G service. About 40% of our retail stores remain closed which continues to impact our volumes. However, we still managed to reach 3.6% penetration as a percentage of our total unique residential customer base. To summarize, we remain excited about the opportunity for further growth and churn reduction from bundling with our cable offerings. And with that, I'll turn this over to Mike to discuss the financials in more detail. 
Mike Grau: Thank you, Dexter, and good afternoon everybody. Thanks for joining us. We certainly hope everyone's doing well. I'd like to start by spending a minute highlighting our EBITDA growth trajectory on slide 14. In Q4, we grew adjusted EBITDA 6.1% year-over-year or 5.8% year-over-year excluding mobile, since we lapped the launch of this business just over a year ago, a very strong result to cap off of an unusual year. In the quarter, we had an additional impact of approximately $9 million to adjusted EBITDA due to the hurricanes. Excluding mobile and excluding storms, we grew EBITDA 6.6% year-over-year. We continue to benefit from a combination of strong customer growth and cost efficiencies and remain very confident in our ability to continue to grow EBITDA in 2021. We also feel very good about our opportunity to continue to drive further margin expansion in our business which I'll turn to now on slide 15. On slide 15, you can see we posted an adjusted EBITDA margin of 45.4% in Q4 up 150 basis points year-over-year. Some of this margin improvement in the quarter was driven by the pass-through adjustment from the decrease in revenue and the commensurate decrease in programming costs for RSN credits due to expected rebates from sports programs. Excluding those RSN credits, adjusted EBITDA margins would have been 45.1%, still up 120 basis points year-over-year. Excluding mobile EBITDA losses our 4Q EBITDA margin was 46.5% or 46.3% further adjusted for RSN credits compared to the 45.0% a year ago, or 130 basis point improvement year-over-year. And in Q4, our EBITDA less CapEx operating free cash flow margin of 31.8% was up 100 basis points year-over-year, due to the combination of EBITDA margin growth and lighter CapEx due to some delays in fiber permits. Turning to Slide 16. We under spent on CapEx this year relative to prior years with full year spending under $1.1 billion. Our capital intensity was 10.9% for the full year but without fiber and new home build growth investment this would have been 8.7%. As I referenced earlier, we were impacted by permitting delays due to the pandemic but are focused on reaccelerating all of our network initiatives. We will continue to invest in our network, anticipating that we will see permanent changes in consumption behaviors across much of our customer base. We did have some onetime capital outlays in the third and fourth quarters to repair storm-related damages, including replacing a fiber ring in the Gulf Coast region but this is now completed. For the next few years as we build out fiber and Optimum, we continue to think that we can comfortably operate in the $1.3 billion to $1.4 billion cash CapEx envelope and complete our various network upgrade and edge-out initiatives. Longer term, we think there remains significant opportunity for reduction in capital spending to below $1 billion annually, particularly once we are completed with our fiber upgrade in the Optimum footprint. In summary, we continue to feel very good about the long-term potential of our network to deliver superior connectivity solutions to our customers at a reasonable cost. Slide 17 highlights the strength of our free cash flow generation in 2020, which grew 59% or about $800 million year-over-year to a total of $1.9 billion. This is our highest-ever level of annual free cash flow and almost double the level of 2017 when we IPO-ed the business. The combination of higher free cash flow on a shrinking share base due to buybacks has enabled us to more than double free cash flow per share to $3.27 in 2020, up from $1.53 in 2017. We achieved this record free cash flow through a combination of top line growth and disciplined cost management as well as lighter-than-anticipated CapEx from the temporary slowdown in our fiber build due to permitting delays during the pandemic. In 2020, we paid just over $80 million in cash taxes. As I've mentioned in the past, we expect to become close to a full federal cash taxpayer this year in 2021, which should bring our total cash tax payments to about $400 million in 2021. Although, we expect higher taxes and CapEx to step up, as we reaccelerate the fiber build in 2021, we do -- we also expect growth in EBITDA and savings from refinancing activity to partially offset the impact on free cash flow year-over-year. Turning to Slide 18. Q4 was also a very strong quarter of free cash flow performance and contributed to the full year strength that I just discussed. We generated $447 million in free cash flow in the third quarter, up 12.5% year-over-year. Our cash flows from financing activities include a $3 billion outlay related to our share repurchase program, partially offset by proceeds from the Lightpath transaction. On Slide 19, we highlight our consistent track record of attractive capital returns to shareholders since Altice USA's IPO, cumulatively having delivered $9.3 billion in combined share repurchases and dividends. This past year to take advantage of what we found to be a significantly undervalued share price, we repurchased a record $4.8 billion in shares including a $2.3 billion tender offer we completed in December. Our share repurchases have allowed us to reduce our total shares outstanding by 35% since the IPO. Going forward, our capital allocation objectives remain unchanged. We remain opportunistic and plan to take advantage of the difference between our free cash flow yield and the low cost of debt to further repurchase additional shares given the current market conditions. We also remain interested in potential M&A opportunities to further expand our cable footprint. On Slide 20, we provide an update on our interest rate savings initiatives. In 2020, our cash interest expense was just under what we spent in 2019. But we would have reported significantly more in year-over-year savings, except for double coupon payments in 2020 from the timing of some of our refinancing activities. However, our current run rate implies that we expect to realize nearly $200 million in additional cash interest savings relative to 2019. And zooming out, we're very happy to illustrate that since 2017, we have realized approximately $550 million in cumulative annual interest savings. In 2020, we refinanced $4.4 billion in debt. In June, we refinanced $1.1 billion of guaranteed five 3/8% notes to four 1/8% guaranteed notes and $625 million of 7.75% unsecured notes to new four 5/8% 10-year unsecured notes. And in August, we refinanced $1.7 billion of 10 7/8% notes via an add-on offering to our four 5/8% unsecured notes priced in June for an effective yield of 4.16%. Also in August, we refinanced $1 billion of six 5/8% senior guaranteed notes into a new 10.5 year note and achieved a record low coupon of three 3/8%. We achieved a 4.3% cost of debt on financing, an additional $1.46 billion for the Lightpath transaction. And this further lowered our total cost of borrowing to 4.7% down from 5.9% last year. As of year-end 2020, our total company leverage on an L2QA basis was 5.4 times and leverage for the CSC Holdings debt silo was 5.3 times on the same basis. In 2021 we have additional opportunities to refinance at least another $2.5 billion in debt which we plan to do opportunistically based on market conditions. The strength of our balance sheet can also be demonstrated by reference to our maturity schedule. We have no annual bond maturities greater than $1 billion before 2025, all of which could be covered by either free cash flow generation or our revolver. As further evidence of the strength of our balance sheet Standard, Poor's announced last night that they had placed their rating on Altice USA on CreditWatch positive for a potential upgrade to our credit ratings. We will continue to proactively manage our liabilities in the same way going forward and we remain extremely comfortable with the strength and resilience of our balance sheet. In 2020, despite market volatility and throughout the whole pandemic, we have still been able to refinance debt at advantageous rates to secure future savings with short payback periods. Finally on Slide 21 we provide our financial outlook for 2021. But before doing so I want to recap that in 2020, we delivered against all the financial guidance targets that we set managing to grow revenue 2.6% adjusted for storms and RSN credits. And we grew EBITDA by 4.1% adjusted for storms. We ended 2020 with cash CapEx of just $1.1 billion lower than expected due to fiber permitting delays. After share repurchases of $4.8 billion, we ended the year with leverage of 5.3 times net debt to last two quarters' annualized EBITDA at CSC Holdings LLC. For 2021, we continue to expect to grow both revenue and EBITDA. We acknowledge ongoing uncertainty from the pandemic, but also feel confident that we can continue to deliver solid top and bottom line growth, as we demonstrated during a very strong 2020. We expect cash CapEx to step back into the $1.3 billion to $1.4 billion envelope, which we have long discussed spending annually during our fiber builds. We expect to naturally delever through EBITDA growth and repurchase $1.5 billion in shares this year. To conclude, I do want to echo Dex's remarks and take a moment to thank the Altice USA team for a fantastic 2020 and we reiterate that we are incredibly well positioned for 2021. And with that we will now take any questions. 
Operator: [Operator Instructions] Your first question comes from the line of Phil Cusick of JPMorgan. Your line is open.
Phil Cusick: Hey guys, thanks. Maybe start with some revenue drivers. Broadband ads, you're guiding to I think still better than the 2018-2019 run rate. Help us understand the confidence there. And I know you talked about some of the build-out plans, but just take us through that again please.
Dexter Goei: Sure. Hey Phil. Listen, we in 2018 and 2019 were in kind of that 70,000 to 80,000 broadband net adds. So we feel really good about those numbers and being able to do at least as well if not better. You talked a little bit about our CapEx plans. We historically have been delivering about 100,000 to 125,000 the last couple of years of new homes billed. We expect that number to be -- hit 150000 and hopefully more this year as we ramp that up. And then that will accelerate 2022 and 2023. On top of that, we've got 400,000 Suddenlink homes out of 750,000, 800,000 that we want to upgrade. The ones that we are first upgrading are very underpenetrated where in many respects we're providing broadband speeds of less than 100 megabits in those areas. And so we're freeing up a lot of capacity and upgrade those and those will get done probably throughout the year up until Q3. So we expect to see some good activity on those subscribers. And then lastly on the fiber-to-the-home we continue to see very, very good activity there. As you see our sell-in rates are 2/3 of one gig. The fiber product is starting to get some good traction in terms of market share and we'll continue to accelerate that growth. I think the other thing to just take a step back is, as we spoke about in previous quarters only about 25% of our activity in our footprint is in the FiOS zones, right? So we have discovered a brand-new zone which is a non-FiOS Optimum zone, where we saw a tremendous amount of activity in the Q2 Q3 Q4 time frame. And the Suddenlink footprint continues to be underpenetrated and showing very, very good growth on the broadband net adds. So all of those things put together a little bit of CapEx here, a little bit of upgrade there a little bit of fiber there some renewed zones where we're seeing a lot of increased activity plus the continued outperformance of the Suddenlink footprint from a penetration standpoint really makes us feel good about 2021 and onwards on our broadband subscribers. 
Phil Cusick: That's helpful. If I can just dial out for one last quick one. Now I know the outlook is for growth in revenue and EBITDA this year. Do you think that the business can grow better than the 2.6% and 4.1% sort of normalized numbers in 2020? 
Dexter Goei: It's -- well we're cautious only because you just don't know what's going to happen in the advertising market which number one we're going to lose about $60 million of advertising revenue -- $60 million, $70 million of political advertising revenue this year. Given how big 2020 was both on the political side which was a lot bigger than historically it's been in political years. We expect the News and Advertising business to be pretty much flat which would be a fantastic result which means, we're taking up that $60 million to $70 million of political revenue that we're losing and we're getting it from somewhere else. So I think we're just being cautious on that. Can we get back to 2.5% and 4% EBITDA growth? I think we can absolutely. I just think -- I think from a guidance standpoint Phil, we want to be cautious here on News and Advertising and also on the SMB side as we just don't know how the next kind of few quarters are going to roll out on the SMB side. But on the residential side, we're seeing back to business continued very good activity in January and February. So I think we feel good about the guidance obviously given it's conservative. But I just don't want to pinpoint ourselves at this point.
Phil Cusick: Thanks Dexter. That helps.
Operator: Your next question comes from the line of Craig Moffett from MoffettNathanson. Your line is open.
Craig Moffett: Hi. Let's turn to your buybacks for a minute. You made the in -- I think it was October you made the bid for Cogeco and Atlantic Broadband and I presume you've been looking for other acquisition targets. I wonder if you could just talk about that search a little bit and what you're thinking is now with respect to potentially finding other targets. And is it appropriate to read the pace at which you were buying back shares as an acknowledgment that there just aren't willing sellers out there at the moment? 
Dexter Goei: Listen Craig we definitely want to go out there and find attractive MVPDs to acquire right just focusing on our residential business. I would say that, there is a handful of smaller operators that are available to acquire. We eliminate a lot of them given -- for either geographic reasons or for competitive reasons and narrow it down to a couple that we find very attractive, right? So the bite-sized Service Electric type of acquisitions are very attractive for us. So we'll continue to do that. And hopefully, we'll be able to unlock one of those this year, if not more. But we'll continue to try to unlock as many of those as possible. But yes in the absence of doing attractive M&A, the best use of our capital right now for us is to continue to buy back shares. We continue to see a high single-digit free cash flow yield this year. And with -- we're financing our debt at the kind of 3%, 3.5% level. So we're still seeing a very good 500 to 600 basis point spread. We are cognizant of taking down our leverage back down to the 4.5 times to 5 times. So that will naturally occur with the EBITDA growth. But we'd like to redeploy our capital to the extent that we don't have M&A to buy to buying back shares. If something like an Atlantic Broadband comes to sale or anything even of larger size than that we definitely continue to believe that M&A is the best use of our capital if anything's available. 
Operator: Your next question comes from the line of Doug Mitchelson from Credit Suisse. Your line is open.
Doug Mitchelson: Thanks so much. A question for Dexter. Sticking on the broadband theme from earlier, I just want to make sure we sort of fully flesh this out. Any change in competitor behavior that you're seeing or responding to any sort of commentary on churn and non-pay disconnect trends? And then lastly, the first quarter historically has been the biggest quarter for broadband net adds. And you mentioned in your formal remarks that it might be a little bit more back-end weighted this year, because of the timing of the build-outs and growth initiatives that you talked about. Is this a year where we should expect 1Q isn't sort of seasonally the strongest quarter, because some of the dynamics we're talking about COVID trends flowing through? Or is it normal but still stronger in the back half of the year? Thanks.
Dexter Goei: Yeah. I think on -- from a competitive standpoint we are always -- it's seasonal right? So that question, I think we get asked pretty regularly. And the standard operating answer is we don't really see any change, because they don't -- promotional competitive promotional offers don't last for long periods of time. Specifically, in our Optimum FiOS footprint, we did see very aggressive tactics from FiOS as they were off sides for a little bit of time given that there they were not installing I believe in the second quarter of the year. But other than that it was -- it's pretty normal across the board. We haven't seen anything substantive from a competitive standpoint. Same thing with the nonpaid disconnects, nothing out of the ordinary. The whole kind of let's call it mess related to the pandemic with the FCC Pledge, the New Jersey Executive Order, the new altered New Jersey Executive Order, and three storms that hit three different areas of our footprint creates a little bit of a mess from following seasonal trends and accounting and those types of things. But I don't think we see anything in particular out there that makes me anything concerned around our targets for 2021 in terms of broadband net adds. We clearly expect to beat -- meet or beat, our historical numbers pre-2020. And in terms of Q1 Q1's pretty much going to be for us a pretty ordinary Q1. It is very much more back ended, but we're not seeing anything abnormal in January and February to date relative to our historical numbers, obviously pre-COVID historical numbers, because March was a blowout quarter month last quarter in 2020. And we saw obviously renewed activity through Q2 and the beginning of Q3 that became -- that makes the comparisons very difficult. But yeah we will see a little bit more back ended this year given the build-outs and the continued investment in the network.
Doug Mitchelson: All right. Thank you so much.
Operator: Your next question comes from the line of Michael Rollins from Citi. Your line is open.
Michael Rollins: Thank you. Good afternoon. Two questions if I could. First, just in terms of the guidance for adjusted EBITDA growth versus revenue growth. Is there a spread that you would suggest that EBITDA growth could grow faster than revenue in 2021? And then secondly, just curious how you're approaching the video business with respect to the pricing strategy, and what impact that can have on subscriber and video revenue performance as you think about 2021? Thanks.
Dexter Goei: Yeah. Listen on spreads, I sure hope so there’s a spread between revenue and EBITDA growth for sure. We've been trending historically I don't know 200 basis points. Maybe it depends on the year 200, 300 basis points difference between two. I don't think there would be anything different. Obviously with the mix shift that's occurring in the industry from broadband -- from video to broadband, it gets a little bit skewed in terms of some of the historical trends depending on what's happening on the video side. But by and large I think that's a probably good rule of thumb with us 200 to 300 basis points spread maybe more, maybe less depending on the year. On the video strategy, listen we continue to be focused on profitability. The attachment rates as you know have fallen in the industry and particularly with us given that we had a very high penetration of video attachment in the Optimum footprint. So we're seeing attachment rates two years ago that were close to 60% in our bundles and now it's closer to 40%, right? So we're losing unprofitable subscribers or not signing up unprofitable subscribers, which is great but continuing to maintain a very keen focus on our very attractive and profitable subscribers that have been with us for more than three to five years. But in terms of pricing I think we continue to provide the bundle. We continue to focus very much on the broadband net adds and we continue to focus on being profitable on the video business. So the gross add video business is something that we are less excited about. And so we're not that much focused on that product as much through the bundle. And on trends, I think we lost about 7%-ish points in video subs this year in 2020. I suspect we're on the same rate right in 2021.
Michael Rollins: Thank you
Operator: You're next question comes from the line of John Hodulik from UBS. Your line is open.
John Hodulik: Okay, thanks. Yeah, just a quick question on the mobile strategy, is this a good run rate in terms of the growth you're seeing there? And then could you give us an update on your expectations for profitability in that segment? Thanks.
Dexter Goei: Yeah. I mean, listen we are -- we're focused very much on a profitable mobile business. I think we've said that regularly. If you look at our EBITDA minus CapEx loss relative to our peers and adjusted for size, we're significantly more -- we've lost a lot less money let's call it than our peers. And we're going to continue to try and lose a lot less money. We could, obviously, spend a lot of money on media spend and marketing to go out there and push the growth. I think we want to make sure that we continue to push profitable growth. And so as you look at our focus our 1-gig and our 3-gig product is actually penetrating very well right now. And so -- and those are very profitable products. And so we're going to continue to push that. We're going to open up some more retail stores. We're going to invest in more media. But we're going to do that cautiously and making sure that we're doing it and pushing profitable profit products all the time, which gets down to when do we think we're EBITDA breakeven. I think sometime towards the end of next year we should be EBITDA breakeven in terms of the business on a monthly basis.
John Hodulik: Got it. Thank you.
Operator: Your next question comes from the line of Brett Feldman from Goldman Sachs. Your line is open.
Brett Feldman: Yeah. Thanks for taking my question. Your optimism that you'll be able to deploy your full CapEx budget this year, are you actually at the point where you are seeing the permitting process back up to speed? Or is it ramping up to speed? And then, if you are unable to deploy that full amount of capital this year, because of the same logistical headwinds, what do you do to favor that excess money? Last year obviously buybacks was the next thing on the list. Is that still the next thing on the list? Or are you going to be a little more balanced with maybe delevering? Thank you.
Dexter Goei: Listen, I think we are -- on the CapEx deployment, we're full steam ahead on ramping up the fiber side. And that is focused on the FiOS zones. And some non-FiOS zones which are very wealthy areas. And that's trending very well. So we're not seeing the inability on the permit side, in the Optimum footprint. And on the edge-outs as well, we're well on track to building up that steam on that. So I'm feeling good about the ability to deploy the capital today, in this environment. And so, hopefully we are able to spend that $1.3 billion to $1.4 billion that we've been talking about. If we don't spend it, I understand that leverage looks from a multiple standpoint a little bit above five, as something that people would like us to take down. But we still believe our stock is -- still continues to be very, very cheap. And so, I suspect that we'll redeploy that capital to buy back stock as opposed to deleveraging. I think we'll take all of our free cash flow and buy back stock, for the year ex-M&A.
Brett Feldman: Thank you.
Operator: Your next question comes from the line of Benjamin Swinburne from Morgan Stanley. Your line is open.
Benjamin Swinburne: Thank you. Good afternoon. I guess, Dexter, does that mean you expect $1.5 billion of free cash flow, in 2021? Just to follow-up on your last comment.
Dexter Goei: Guidance is conservative, Ben.
Benjamin Swinburne: Yeah. I guess, the key point there right is you guys will -- I just want to confirm have cash taxes in 2021, right? I think you guys have talked about $400 or something million?
Dexter Goei: I think that's right. So we have probably about, let's call it, $300 million more of CapEx of taxes. We have a couple of hundred million more of CapEx. Then you've got EBITDA growth and you've got interest savings of a couple of hundred million, right? So, you mix -- put that all in the mix there? And you come up with your free cash flow number.
Benjamin Swinburne: Yeah. Cool. My questions were actually just around thinking about the sort of cadence through the year. I just wanted to confirm, as you guys get into Q3 and Q4, you should be benefiting from lapping the RSN rebates and the storm credits. So we should see, in terms of residential revenue growth that should be pretty healthy. And maybe your highest quarters of growth in those -- in the back half. So then to make sure we had that right with obviously the …
Dexter Goei: Yeah.
Benjamin Swinburne: … natural programming cost offset on the RSN front.
Dexter Goei: Yeah. On a reported revenue basis year-over-year, we should start seeing in Q3 and Q4, just a natural accounting bump, right?
Benjamin Swinburne: Yeah. Okay. And then, just one more if I can. I think, you guys historically have had a pretty nice political benefit from the New York mayor race, which is, I think this year. Is that something that you think could be a source of potential upside, as you think about just political spending? And there's, a lot of people running and maybe get you guys to grow that revenue line this year?
Dexter Goei: Yeah. I mean, we didn't -- you raise a good point, because there's a lot of money going into New York's mayor race, when we were budgeting this that really hadn't kicked off. So maybe there is some upside there. I'm hopeful Andrew Yang. And all the money he has just comes and spends a ton of money. But the real mayor race happens in June, during the primaries. So it's -- whoever wins the primary wins the mayor, the Democratic primary race. So I believe, it's in, June. And for those of you who haven't registered, I believe, you have to register for the Democratic primary by now, this weekend I think, thing's like February 14th something like that. If you're not registered as a Democratic voter in the New York primary, you're not voting in June.
Benjamin Swinburne: Important PSA. So thank you.
Dexter Goei: Exactly, I've been reminded that by several candidates to tell people to go out there get ready to vote, but that the real vote is in June.
Benjamin Swinburne: Right, right. Great. Thank you very much.
Operator: Your next question comes from the line of Kannan Venkateshwar from Barclays. Your line is open.
Kannan Venkateshwar: Thank you. Dexter, I guess, I just wanted to home in a little bit more on this revenue growth algorithm that you laid out, roughly in that 2.5% kind of a range. If you look at it over the last maybe four, five year period, I think in the early part of that period a bigger part of the growth came from residential.  But more recently when we look at the contribution of residential to growth that dropped off a little bit and other segments have picked it up. When you look at that I think historically you guys have done about 1.5% unit growth and 1.5% pricing growth to get to that roughly 2% to 3% kind of a growth algorithm in residential. So could you help us think through what that algorithm looks like specifically for residential as you look at this year as well as more of a medium-term outlook? Thanks.
Dexter Goei : I'm sure that my friends Nick and Mike can take you off-line and walk you through this. But just from a high-level standpoint, the one thing that's difficult here is obviously the whole video side to it. That algorithm was very easy on rate versus volume to do. Now the whole rate side is a little bit skewed because of how video is performing where you're losing revenue on video, right? So where we obviously see maybe a headline slowdown on B2C revenue, we're seeing unbelievable of increased profitability coming from B2C, right? So the algorithm's a little bit trickier that way to get your arms around.  But today assuming that the same kind of 2.5% number is what you're looking for -- 2.5% to 3%, we're really starting to see more of it we're expecting to come from volume than it is coming from rate. Historically, before 2020, you would have seen a lot more of that 3% skew more like 2% rate -- 2% to 2.5% rate and 0% to 0.5% from volume. And we're really looking going forward at a more equilibrium and a lot more volume weighting in there. 
Kannan Venkateshwar: Got it.
Dexter Goei: Does that make any sense?
Kannan Venkateshwar: That’s helpful. Thank you, Dexter.
Operator: Your next question comes from the line of Andrew Beale from Arete Research. Your line is open.
Andrew Beale: Hi. You touched on some of the growth opportunities across the footprint. And I was just wondering if you could give us a bit more background on the broadband penetration levels and increases in penetration you're seeing in what I guess are the four main buckets which are slow Suddenlink versus fast Suddenlink if I can call it that as well as non-FiOS Optimum versus FiOS Optimum? And then perhaps with the FiOS Optimum areas what difference do you find as you start actually marketing FTTH? 
Dexter Goei : Yes. I mean, Andrew, that's a great question. I mean, basically if you take maybe a step back where we're seeing, let's call it broadband gross adds right so -- and uncouple it that way, you're basically seeing about half-half between Optimum and Suddenlink, right? But the key thing here is you're only seeing 25% of it in FiOS zones in terms of our broadband gross adds.  So 75% of it is coming from non-FiOS zones. And where you historically would have seen it more like Optimum was one-third of our volume and two-thirds coming from Suddenlink. It's more -- much more now equal because of the non-FiOS zones on Optimum are very, very active areas today when they have historically been a lot less active. And so that's kind of one of the backdrops that we're seeing.  The second is the numbers in the Suddenlink zones have skyrocketed in terms of net adds coming from there, right? I think, it's -- relative to 2019, we probably have almost a 300% increase coming from the Suddenlink footprint in net adds. That should give you some backdrop in terms of what the activity is. So less activity in the FiOS zones a lot more activities in non-FiOS zones than historically and just an absolute explosion in the Suddenlink footprint.
Andrew Beale : Okay. No, that's very helpful. And as you market FTTH, I mean, can you -- most of the difference in the FiOS Optimum zones?
Dexter Goei: Yes. I think listen we're a ping pong match between FiOS and us over the last three, four years. It's plus or minus 10,000 every year in net adds, and that really doesn't change. And what we love about the FTTH product is we're really starting to get great mind share in those zones. So we'll start marketing more aggressively as we start having bigger footprint there and start delivering a lot more homes. And we're starting to see people going straight up to symmetrical one gig two-thirds sell-in when the network's already 10-gig ready effectively, right? So it's just a question of us pushing higher speeds if we want to. And with the overall backdrop of our entire footprint 55% of our subscribers are still taking 200 megs or less, right? So we feel really good about the fiber project. We've always talked about it as a cost and CapEx savings exercise. We're starting to see the real benefits also -- early benefits of a revenue exercise as well that are going to be very fruitful we believe.
Andrew Beale : Okay. Thank you. And can I just sneak one last one in on the as you've migrated the mobile to T-Mobile, are there any material differences in the MVNO agreement aside from the longer-term that we should think about?
Dexter Goei: Not yet. We're working on it with them. We clearly would like to do more with some -- with T-Mobile. So I think there's a lot of things that we're talking about.
Andrew Beale: Okay. Thank you.
Operator: Our last question comes from the line of Frank Louthan from Raymond James. Your line is open.
Frank Louthan: Yes, just wanted to touch base on some of the regulatory issues. If -- how would you view the return of Title II and possibly price regulation in terms of your capital budget? Would you adjust your capital budget if any regulation is brought back in that regard? 
Dexter Goei: Yes. I mean, I can't say for sure how we'll react. I don't think anyone today sees the possibility of price regulation. I think everyone talks about potentially Title II being reclassified as Title II as a possibility. But to the extent that we are disincentivized to be spending money and getting the right capital returns on it, I suspect we may reallocate capital. Yes, that sounds like a reasonable equation. I just can't tell you that that's what we would do because we don't know what it could look like.
Frank Louthan : All right. Great. Thank you very much.
Operator: That's all the time we have for questions today. I'll turn the call back over to Nick Brown.
Nick Brown : Thank you everyone for joining. Do let us know if you have any follow-up questions. Otherwise, we look forward to catching up with you in the next few weeks. Thank you for joining.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.